Operator: Ladies and gentlemen, thank you for standing by and welcome to the LightInTheBox First Quarter of 2017 Earnings Conference Call. At this time, all participants are in listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today Thursday 15th of June, 2017. I would now like to hand the conference over to your host today, Mr. Christian Arnell. Thank you. Please go ahead, sir.
Christian Arnell: Thank you, Joe. Hello, everyone and welcome to LightInTheBox’s first quarter 2017 earnings conference call. The company’s earnings results were released earlier today and are available on the Company’s IR website as well as through PR Newswire. Today, you will hear from LightInTheBox’s Chairman and CEO, Mr. Alan Guo, who will give you an overview of the company’s strategies and recent developments, followed by Mr. Robin Lu, the company’s Chief Financial Officer, who will address financial results in more detail. Before we proceed, I would like to remind you of our Safe Harbor statement. Please note that the discussion today may contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements, please refer to our Form 20-F filed with U.S. Securities and Exchange Commission on March 30, 2017. We do not assume any obligation to update any forward-looking statements, except as required under applicable laws. At this point, I would like to turn the call over to Alan. Alan, please go ahead.
Alan Guo: Thanks, Christian, and thank you everyone for joining us today. I am pleased to report that our first quarter revenue came in at $72.7 million, which represents 8% year-over-year growth and exceeded the high end of our guidance of $72 million. This marks the second consecutive quarter of revenue growth on a year-over-year basis. Revenue growth has recently further accelerated over the past two months, which is highlighted in our strong guidance for Q2, with revenue expected to be between $76 million to $79 million. This represents approximately 16% to 20% year-over-year growth. We believe that our success in regaining revenue growth demonstrates our persistence and the effectiveness of our strategy. To improve our business through strengthening the supply chain management, better product quality, greater customer satisfaction, big data enabled new product merchandising and development of new growth opportunities including mobile and social channels as well as our logistics platform. We are committed to fulfill our mission of making good product accessible to global consumers at affordable prices. To achieve this, our number one focus during the quarter has been to continuously improve our supply chain; we’ve further improved our new vendor acquisition practices by incorporating an even stronger focus on product quality. We also deployed an improved vendor evaluation and incentive system which segment suppliers according to product defect rates, on time fulfillment rates and out of stock ratios. This improved evaluation system allows us to retain and nurture good suppliers and disqualify underperforming ones. Leveraging our proprietary automated data analytics systems, we have built sophisticated statistical models that analyze the important data and trends among our supplier networks. As a result we achieved a significant year-over-year drop in overall post sales return and refund. And in particular a significant drop in post-sales returns and refunds due to product quality issues. All these helped support a higher level of customer satisfaction. We also continue to source directly from factories and factory direct wholesalers across China, eliminating middle men who provides low added value in the process. Meanwhile we successfully introduced more of our OEM products marketed under LightInTheBox associated private label brands. All these efforts combined give us better control and leverage over our supply chain. We continue to make solid progress in nurturing new product categories and see new product trends through our big data enabled merchandising systems. For example, emerging categories such as sports and hobbies as well as wigs and hair extensions continuing to grow at fast pace and we were able to roll out new trending products such as finger spinner very early on to fully benefit from their global appeal ahead of our competitors. We consider ourselves as a great distribution channel for emerging [Indiscernible] Chinese manufacturers and brands with global ambitions and appeal. We strategically support and promote these suppliers on our websites and apps in orders to make us the go to place for customers seeking to discover product innovations from China. We continue to make good progress in increasing our mobile penetration rate and in leveraging social network such as Facebook to promote our brand and products, with increased visits to both our mobile websites and the mobile apps during the quarter with the percentage of revenue generated from mobile platforms hitting a record high during the quarter. Our number of social media followers continue to increase as we acquire more traffic from social platforms and create new ways for them to stay engaged with our platforms. We also made multiple updates to our IOS and Android apps with improved product ranking and recommendation systems to increase user stickiness. Overall we are happy with the progress we have made on social and mobile platforms during the quarter. Our logistics and warehousing platform continues to grow. With warehouse in Europe and the U.S. we have a geographic advantage and are able to provide a good logistics platforms for other cross border distributors or resellers online or offline who do not want to deal with the complexities of global logistic themselves. We have expanded our logistic options by now offering more routes and shipments from China to Europe, over railway which is faster and more reliable than ocean freight. The strategic location of our European warehouse along the railway line contributes to significantly reduced delivery time, which is very important for product categories with dynamic demand or fast product trends. Since day one we have been a company that focuses on global cross border e-commerce. We deliver goods to our customers in more than 200 different countries and offer our website and apps in more than 20 different languages. We are always looking for new opportunities to connect great products with new markets. In particular, the recent growth of e-commerce and increase of mobile internet users in India make it an attractive market for us. Leveraging our deep experience in cross border e-commerce development we have established our market presence in India with new localized payment and logistic solutions during the quarter. We will continue to invest more into India as we believe it will become more important financially and strategically for us in years to come. I think we are ideally positioned to use our experience to develop tailored solutions specifically for the India market. We also began building an inbound wholesale business over the past few quarters as a way to hedge against foreign currency risk and further leverage our global infrastructure and networks. Overall, I'm pleased with what we have accomplished this quarter, as we continue to support our revenue growth momentum. I believe this demonstrate the effectiveness of our strategy and our ability to successfully navigate through a dynamic global market environment. With our long-term strategy we are confident at our revenue growth guidance for Q2 and we will continue making improvements and innovating our business. I would now turn the call over to Robin to go through the financials for the quarter.
Robin Lu : Thank you, Alan. As I review our financial results, let me remind you about a few things. All numbers quoted are in U.S. dollars; all percentage changes we refer to year-over-year unless otherwise noted. So to start, net revenues increased 8% to $72.7 million for the first quarter of 2017. Net revenues from product sales were $64.8 million compared with $61.9 million in the same quarter of 2016. Net revenues from service and others were $7.9 million, compared with $5.4 million in the same quarter of 2016. As a percentage of net revenues, service and others accounted for 10.9% in the quarter 2017. Total orders of product sales were 1.6 million and total number of product sales customers in the quarter were 1.2 million. Product sales in the apparel category were $21.2 million compared with $21.9 million in the same quarter of 2016. As a percentage of product sales, apparel revenues accounted for 32.8% compared with 35.4% in the same quarter of 2016. Product sales from other general merchandise were $43.6 million for the first quarter of 2017. Looking at our business geographically, product sales from Europe were $33.5 million for the first quarter of 2017 compared with $36.5 million in the same quarter of 2016, representing 51.7% of the total product sales for the first quarter of 2017. Product sales from North America were $17.4 million compared with $19.6 million in the same quarter of 2016, representing 26.8% of total product sales for the first quarter of 2017, while product sales from other countries were $13.9 million, representing 21.5% of total product sales for the same quarter. Total cost of revenues was $48.5 million, an increase from $42.5 million in the same period last year. Cost of product sales were $41 million compared with $37.6 million during the same period last year. And the cost of service and others was $7.5 million compared with $4.9 million during the same quarter of 2016. Gross profit was $24.2 million and the gross margin was 33.3% compared with 36.8% in the same quarter of 2016. Fulfillment expenses, which include payment processing fees decreased to $3.8 million from $4.5 million in the same quarter of 2016. Selling and marketing expenses were $15.2 million compared with $14.2 million in the same quarter of 2016. G&A expenses were $7.8 million a decrease from $8.3 million in the same quarter of 2016. G&A expenses include $2.5 million in technology investments compared with $3.5 million during the same quarter of 2016. Net loss was $2.4 million compared with net loss of $2.1 million a year ago. Non-GAAP net loss was $0.8 million compared with non-GAAP net income of $0.9 million in the same quarter of 2016. Net loss per ADS was $0.03 compared with net loss per ADS of $0.04 in the same quarter of last year. As of March 31, 2017, we had a cash and cash equivalents and restricted cash of $85.1 million. For the second quarter of 2017, based on our current estimates and the business seasonality, we expect net revenue to be in the range of $76 million to $79 million, representing an increase of 15.8% to 20.3% year-over-year. This forecast reflects the company’s current and the preliminary views of the market and operational conditions, all of which are subject to change. Lastly the company’s Board of Directors has authorized the extension of the company’s existing share repurchase plan for addition 12 months period, through June 14, 2018. The company is authorized to repurchase up to the remaining balance of $10 million of its ADS. As of March 31, 2017, the company has repurchased a total of $1 million of its ADS. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator?
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] There is no further question at this time, I’d like to hand the conference back to our presenters, please continue.
Christian Arnell: Well, thank you everyone for joining us today and if you have any questions or comments -- it looks that we do have one question actually. Operator, can we take it please.
Operator: We have our question coming from the line of Yang Sin Chen [ph] of Guotai Junan Securities. Please go ahead.
Unidentified Analyst: Okay, hello gentlemen. This is Yang Sin Chen [ph] from Guotai Junan Securities and I got one question that is we look back at the quarter of Q4 in 2016 and Q1 in 2017, we can see the growth and do you expect the revenue to regain double-digit growth in quarter two in 2017. Can you give us more background?
Alan Guo: Sure, thanks for the question. I think Q1 was the second consecutive quarter of growth. The drivers of growth came from a couple of different angles, the first is we have some fast growing categories such as sports and hobbies, as well as wigs and hair extensions. Secondly, geographically we are gaining growth in some emerging markets including India, Brazil. We also gained growth in our new initiatives, including logistic platforms as well as the new inbound business. We also gained some quite momentums from the mobile platform, both mobile web and mobile app installation and the daily active users, as well as our social networks followings and our social adds. So all those things actually contribute to continued growth and all these trends the recent development we saw actually carried on in Q2 that’s why we saw accelerated growth in Q2 and which led us to provide a stronger guidance in terms of revenue growth. Thank you.
Unidentified Analyst: Okay, thank you for answering. Thank you.
Alan Guo: Thank you.
Operator: [Operator Instructions] There is no question at this time. Sorry we have our next question coming from the line of Rick Shea of Vardon Capital. Just go ahead.
Rick Shea: Hi, good evening. Alan, I was just wondering if you could maybe explain, what has to happen for the company to go net income positive? And do you think that's more likely to happen in the product division or the services?
Alan Guo: Hey Rick, how are you? I think while we are -- there are a couple of things, a, is while we are regaining growth we certainly care very much about our bottom-line. We pay a lot of attention to it, we don't want to have the widened gap while we are accelerating the growth, that's number one. So we take it very seriously. And secondly, we believe there is a natural re-leveraging of our fixed cost once we regain faster growth in our top-line. So I think our improved bottom-line will come along with the regaining growth that's secondly. And thirdly, when we’re expanding into new product categories, we are very careful about which categories we choose. For example, the categories we mentioned like the sports and hobbies and the wigs and hair extensions all have very healthy margins. So that's the third one. And the fourth one is we work very hard to increase the customer satisfaction and which we hope will leads to higher lifetime value, which means we will have more revenue generated from non-paid traffic acquisition channels such as the CRM [ph] through email and also the daily app users, which will come organically. I think those will actually contribute -- if those increased significantly that will also significantly improve our bottom-line. So we definitely feel the product business will continue to be a main driver of our gross margin. And we believe the growth of our top-line will also improve -- will also help us improve the bottom line if we provide the right leverage and focus.
Rick Shea: Okay, thank you.
Alan Guo: Thank you, Rick.
Operator: [Operator Instructions] There is no question at this time. I'd like to hand the conference back to our presenters. Please continue.
Alan Guo: Alright. Well thank you very much for joining us everyone today. Please let us know if you have any comments or questions contact myself. And if not, please let us know. Have a good evening and good night. Thank you for joining. Bye-bye.
Operator: Ladies and gentlemen that does conclude our conference for today. Thank you for participating. You may all disconnect.